Operator: Good morning, and welcome to Malibu Boats Conference Call to Discuss the Fourth Quarter and Full Fiscal Year 2021 Results. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. Please be advised that reproduction of this call in whole or in part is not permitted without written authorization from Malibu Boats. As a reminder, this call is being recorded. On the call today from management are Mr. Jack Springer, Chief Executive Officer; Mr. Wayne Wilson, Chief Financial Officer; and Mr. Ritchie Anderson, Chief Operating Officer. I will now turn the call over to Mr. Wilson to get started. Please go ahead, sir.
Wayne Wilson: Thank you, and good morning, everyone. On the call, Jack will provide commentary on the business, and I will discuss our fiscal fourth quarter and full year 2021 financials. We will then open the call for questions. A press release covering the company's fiscal fourth quarter and full year 2021 results was issued today, and a copy of that press release can be found in the Investor Relations section of the company's website. I also want to remind everyone that management's remarks on this call may contain certain forward-looking statements, including predictions, expectations, estimates or other information that might be considered forward-looking. And that actual results could differ materially from those projected on today's call. You should not place undue reliance on these forward-looking statements, which speak only as of today and the company undertakes no obligation to update them for any new information or future events. Factors that might affect future results are discussed in our filings with the SEC. And we encourage you to review our SEC filings for a more detailed description of these risk factors. Please also note that we will be referring to certain non-GAAP financial measures on today's call, such as adjusted EBITDA, adjusted EBITDA margin, adjusted fully distributed net income and adjusted fully distributed net income per share. Reconciliations of these non-GAAP financial measures to GAAP financial measures are included in our earnings release. I’d now like to turn the call over to Jack for his commentary.
Jack Springer: Thank you, Wayne, and thank you all for joining the call. We delivered another record year for Malibu Boats, which included fiscal fourth quarter results that demolished expectations. Our performance was underscored by outperformance against the broader industry, a testament to Malibu's market-leading innovation, unraveled strategic and operational excellence and a best-in-class team that has continued to navigate the global supply chain constraints, which are weighing on almost every industry and the global economy. For fiscal year 2021, net sales increased nearly 42% to $927 million. Gross margin expanded to 25.5%, adjusted EBITDA grew 71% to $190 million and adjusted EBITDA margin increased 350 basis points to 20.5%. From the onset of our initial full year guidance for fiscal year 2021, by all accounts, we crushed it. Malibu continues to be a premier force in the marine industry and the entire leisure space. And we're setting the tone for continued strength and agility as we move beyond fiscal 2021. All of our brands performed exceptionally well as retail demand maintained this breathtaking pace, the trend toward large, feature and option-rich boats has continued, which has supported robust ASPs and attractive margins. In particular for Malibu and Axis, the M240, the M220, A24 and 23 LSV, which were all larger boats, are performing well ahead of what we expected. New models at Pursuit, the S 428, DC 246 and S 268 have delivered strong sales and Cobalt’s completely renovated R Series with a new R6 and R8 models replace the older models, generating improved pricing and higher margins. Our backlog is unprecedented for every Malibu brand. We estimate that over 90% of new boat orders will be retail sold in the first quarter of fiscal 2022. And with inventory levels where they are, consumers are not buying boats, they're buying slots to have the boat that they want built. We expect retail demand for wholesale slots to continue at elevated levels through the remainder of fiscal year 2022. Inventory remains at historically low levels and we now believe any meaningful increase in channel inventory will not begin until fiscal year 2023 at the earliest. In our view, we have an unprecedented 24 to 36 month ramp taking us to fiscal 2024 before we see more normalized inventory levels. There has been a lot of focus on the new boat buyers coming into the market, the composition of this group and the ultimate retention of these new customers. Recently, there were several reports by respected marine sources that put these buyers into clearer focus for everyone. From 2011 until 2019, the number of first-time boat buyers or FTBBs has averaged 42,400 per year. In 2020, this number was just shy of 64,000 and increase of 50%. Put another way, the percentage of first-time boat buyers increased 300 basis points in 2020 versus the average year in the time period between 2011 and 2019. We also have new data on the attrition of first-time boat buyers and it is exciting to say the least. In the past, we estimated that about 40% to 50% of new buyers for used and new boats will stay in boating long-term and purchase a second or a third boat. However, the new data shows that when a consumer buys a boat for the first time, approximately 80% of them, depending on the segment are still in boating five years later. Further, going all the way back to 2011, over 60% of first-time boat buyers still own a boat. This in and of itself reinforces our confidence that many of the new buyers in the last year are here to stay. And we think our breadth of offerings and industry-leading innovation and customer service will keep them with us for their next boat. What is even more intriguing is the demographic of first-time boat buyers. Historically, only 12% of first-time boat buyers were women. Despite this, we know that women have a tremendous influence in deciding the boat that will be purchased even if they are not the primary buyer. But in 2020, first-time female boat buyers rose to 23% from the average of 12%, fueling what has been our focus since 2012, expanding the addressable market by targeting women through our marketing and ultimately putting more boats into their hands. The foundation of Malibu's business, industry-leading innovation, a well-developed vertical integration structure and operational excellence remains intact. Each and every day, we see the positive impact of our strategic decisions coming to fruition. Our innovation allows us to build, deliver and sell more boats than our competitors. Our vertical integration allows us to maintain better control of our supply chain, quality and input costs. And our operational excellence consistently allows us to raise the production bar if consumers demand more and more boats. These elements are extremely critical in the current environment. And it's obvious that we are pulling all the right levers to grow this business at an aggressive pace. While we continue to put the pedal to the metal, we also recognize the tightening supply chain over the last year. And in particular, the past few weeks, as it poses the near-term risks to our production capabilities. We are working diligently to put as many boats on the water as possible. And based on our fourth quarter in 2021 fiscal year results, we've done a tremendous job navigating these headwinds to-date. That said, the supply chain challenges continue to evolve daily from raw material inputs, such as resin, foam and metals to persistent labor shortages at our suppliers to transpacific and domestic logistics delays and backups. While we had hoped the supply chain would be better by now, it is not and it remains a challenge. As a management team and an organization, we pride ourselves on delivering the most innovative, highest quality both in the industry while at the same time, maintaining our strong employee first culture as a differentiator. Further, we are uniquely positioned in the marketplace, given our strategic planning capabilities, operational excellence initiatives and vertical integration strategy. This has been the secret sauce to our long-term success souffle, and will continue to be our guiding principles. Therefore, we are looking at production across our brands and recalibrating based on the supply chain to ensure we maintain production levels that support the highest standards our dealers and customers have come to expect from Malibu brands, while ensuring the safety and wellbeing of our employees. This near-term decision would adversely impact our fiscal first quarter of 2022. Right now it is not possible to predict the improvement of the supply chain and the availability of parts and raw materials. But I have no doubt that as the supply chain constraints resolved our team's commitment to innovation, hard work and delivering results will allow us to equip the competition, deliver more boats to our customers and maintain our track record of incredible results. Shifting to our new Model Year 2022 product lineup. We remain in an enviable position thanks to our suite of boat offerings. I can confidently say Malibu brands delivered the finest most modern products in the marine industry. This makes Malibu stronger and it makes our dealer stronger. For Malibu and Axis we have some exciting new products. We're bringing four new boats to our customers again this year. All are brand new, feature rich and set to drive demand even further. In July, we already introduced the new Malibu Wakesetter 25 LSV, the newest model in the world's best selling Cobalt family. And the Malibu Wakesetter 21 LX, our go-to 21-foot boat for multi-sport boaters who seek performance, versatility and value. The LX replaces our 21 VLX and 21 MLX with a completely new look that bridges the traditional bow and the picklefork bow. We also welcome the Axis T220 into the mix. This is the premier 22-foot wake surf and wakeboarding boat in the marketplace. And in just a few days, the largest Axis ever produced the T250 will debut, adding to our rich margin profile and product suite. Turning to Pursuit. We continue the toy and pace of product development and new boat launches. We will be introducing three new boats, all of which are filling out product white spaces that we identified when we acquired Pursuit. Two of these both are in the over 35-foot category and our brand new S 358 Sport model has just debut at the Pursuit dealer meeting earlier this month. The number of dealers who told me this boat fills a blank spot for them and will allow them to compete and win against the competition was pervasive. With Cobalt, we introduced six new models in fiscal year 2021, and the demand is off the charts. Looking into fiscal year 2022 we are introducing five more boats between now and the Miami Boat Show that we are very excited about. The rollouts included brand new R4 Stern and R4 Surf, which will replace the R3 equivalents of the Stern and Surf. In addition, the R4 outboard model will be a new release of the R series coming in the 23 to 24 foot length. We believe that our R4 models will only enhance the strong legacy of this luxury brand. We will also introduce a larger boat that will exceed 30 foot in both the Stern and outboard versions. These boats will be featured at the Miami Boat Show this upcoming February, and we can't wait share more details with you as they become available. By February 15, it is also exciting to point out that in the span of 15 months, Cobalt will have transitioned from having three outboard models to seven outboard models with more to come. The cruising outboard segment remains a significant growth opportunity for Cobalt. Lastly, our newest brand Maverick continues to earn it stripes in our Malibu family of brands. The integration has been smoother than butter, and we are already seeing the positive results from our dependable approach to the integration, while identifying many more opportunities for growth to come. Maverick is putting into place Malibu’s world-class product development model, and we will be sharing more on new product from Maverick brands in the near future. Similar to Cobalt, there's an opportunity to replace outdated products and like Pursuit there are product white spaces we will fill that will drive growth. On the facility side, the expansion of our Maverick Plant 2 facility is progressing as we expected. And we're excited to say that we will be building gorgeous both in that new facility in the second half of fiscal year 2022. Additionally at Maverick's dealer meeting in June, dealers were very excited about the Maverick acquisition by Malibu and what Malibu's professionalism and laser focus on growth will bring to their businesses. I am extremely proud of the Malibu team as we have navigated through one of the most volatile periods in history. We continue to lean on our differentiating vertical integration and operational prowess as these principles allow us to time and again, enhance our leadership position in the market. Together, we are focused on making sure our dealers have only the best products, and that they can sell them at the highest margins, whether they are Malibu, Axis, Maverick, Cobalt, or Pursuit dealers, we are committed to ensuring they're set up for success. And there's always our prudent approach to M&A and integration offers us a competitive advantage in the market. I want to express my deep gratitude to our teams at every brand. They're working very hard and persevering through this complicated time. Our people are the reason we surpass expectations and record-setting fashion quarter after quarter after quarter. And we pledged to maintain our winning recipe and continue to achieving unraveled success in everything that we do. Doing so will allow us to deliver the financial performance, shareholder value and market growth that our shareholders have come to expect of us. At this point, I will now turn the call over to Wayne to take you through our financial performance in more detail.
Wayne Wilson: Thanks, Jack. In the fourth quarter net sales increased 133.2% to $276.7 million and unit volume increased 110.7% to 2,354 boats. This increase was primarily driven by normalized production levels relative to the COVID induce operational shutdowns in the fourth quarter of fiscal year 2020, an increased unit volume stemming from the acquisition of Maverick Boat Group. The Malibu and Axis brands represented approximately 56.2% of unit sales or 1,324 boats. Saltwater Fishing represented 24% or 565 boats and Cobalt made up the remaining 19.8% or 465 boats. Consolidated net sales per unit increased 10.7% to approximately $117,600 primarily driven by demand for our new, larger models within the Malibu and Cobalt segments. Gross profit increased 193.9% to $69.2 million and gross margin was 25.0%. This compares to a gross margin of 19.8% in the prior year period. Selling and marketing expense increased 45.6% or $1.6 million in the fourth quarter. As a percentage of sales, selling and marketing expenses decreased 110 basis points. General and administrative expenses increased 76.7% or $7.3 million. The increase was driven primarily by acquisition and integration related costs, compensation, higher level of legal expenses and incremental G&A expenses due to the acquisition of Maverick Boat Group. As a percentage of sales, G&A expenses, excluding amortization decreased 190 basis points to 6.1%. Net income for the quarter increased 437.1% to $35 million. Adjusted EBITDA for the quarter increased 272.2% to $57.6 million, and adjusted EBITDA margin increased 770 basis points to 20.8%. Non-GAAP adjusted fully distributed net income per share increased 360% to $1.84 per share. This is calculated using a normalized C Corp tax rate of 23.5% and a fully distributed weighted average share count of approximately 21.7 million shares. For reconciliation of adjusted EBITDA and adjusted fully distributed net income per share to GAAP metrics, please see the table in our earnings release. As Jack mentioned earlier, we finished fiscal year 2021 strong, as we continue to deliver industry leading innovative boats to our customers by successfully executing on our key strategic initiatives. Our integration at Maverick into Malibu's fleet of premium brands has already began to bear fruit and will continue to drive performance as we develop new products and complete our facility expansion. We remain focused on delivering high quality products, healthy margins, and we believe we are well positioned to advance our long-term growth plans in fiscal year 2022. Looking at full year numbers, net sales increased 41.9% and unit volume increased 27%. Consolidated net sales per unit increased 11.7% to approximately $113,200 driven mainly by higher sales of new, more expensive models and optional features within the Malibu and Cobalt segments. Gross profit increased 58.4% to $236.5 million. Net income for the year increased 76.8% to $114.3 million, and adjusted EBITDA increased 71.3% to $190.1 million for the full year. For the year, non-GAAP adjusted fully distributed earnings per share increased 82.7% to $6.01 per share. We remain well positioned heading into fiscal year 2022, given historically low inventory levels and insatiable customer demand. While short-term supply chain headwinds are persisting, we are doing what we do best and implementing our tried and true playbook that leverages our operational excellence and vertical integration. We're thoughtfully recalibrating production to ensure we maintain our track record of industry-leading innovation and quality, while prioritizing our employee first culture. The unprecedented consumer demand coupled with the introduction of new model year products will support continued momentum over the long-term. Based on our current operating plan, our expectations for fiscal year 2022 are as follows: We anticipate revenue growth to be in the high-teens percentage year-over-year. In terms of cadence, we anticipate first half revenue growth aided by the inclusion of Maverick Boat Group north of 30%. Consolidated adjusted EBITDA margin is expected to be approximately 20% for the full year. This is obviously impacted by the inclusion of Maverick for the entirety of the year and the reintroduction of many COVID-19 paused costs. With respect to cadence, EBITDA margins will improve over the course of the year, but we will see year-over-year headwinds in the first half. We anticipate first quarter year-over-year headwinds of over 300 basis points, as Maverick is included, we reintroduced COVID paused costs and we invest in enhanced infrastructure to support our rapid growth. Lastly, I want to acknowledge that as of this morning, we have submitted an S-3 filing with the SEC to replace the upcoming expiration of our shelf registration statement. In closing, we continue to outperform expectations across nearly all metrics. We remain on track to execute on our proven strategy led by our operational excellence. Our best-in-class product portfolio positions us to benefit from the overwhelming retail demand and historic channel restocking opportunity. We are excited about the future and our ability to drive further market share and profitability growth in each of the markets we serve. With that, I'd like to open the call up for questions.
Operator: [Operator Instructions] Our first question comes from Joe Altobello with Raymond James.
Joe Altobello: Thanks. Hey guys. Good morning. To start, a quick question on the revenue guidance for this year. What does that assume in terms of the pace at which supply chain improves? Are you assuming that sort of things start to pick up in Q2? Or do you think you're going to see constraints throughout the entire fiscal year?
Wayne Wilson: Really, it's the bigger pickups in the back half as evidenced by kind of the cadence that we gave. And so, yes, there's a little bit, I think what I would describe as catch up right now, and so we anticipate a little bit of incremental improvement in Q2 and then more meaningfully in the back half of the year.
Joe Altobello: Okay. And in terms of the EBITDA margin guidance of 20%, I think you said in the past that Maverick is about a 50 basis point drag. How should we think about the resumption of certain costs that you guys obviously did not have during COVID? What's the drag from that resumption?
Wayne Wilson: Yes, I would describe that drag as probably in that 20 to 35 basis points, right? So there's a couple of things that we highlighted with respect to a little bit more drag there. One is the COVID paused costs and the other is just in enhancing our infrastructure, investing in the business, given the growth that we've had. Combined, I would say those are north of 30 basis points.
Joe Altobello: And that's mostly Q1, it sounds like?
Wayne Wilson: Some of it – yes, you're going to see more of an impact specifically around the COVID pause cost probably in Q1. And that's what you're seeing in those numbers.
Joe Altobello: Okay, great. Thanks guys.
Operator: Our next question comes from Craig Kennison with Baird.
Craig Kennison: Hey, good morning. Thanks for taking my questions. Jack, you mentioned that 90% of new boat orders are retail sold. What does that number normally look like at this time of year?
Jack Springer: This time of year it’s normally right around 50% or maybe even a little bit less than that.
Craig Kennison: Okay. Thanks. And then with respect to the dealer inventory shortage, is there any way to frame how many units short you believe you may be relative to what you would target, if you could get everything produced?
Jack Springer: Not necessarily on a unit basis. We look at things. We do look at units, but we also look at it weeks on hand. One of the things that Wells Fargo said is that based upon the lowest that it's ever been, it’s five weeks lower than the history, since they've been measuring it. And I think between segments, it may be a little bit different. But I think the point that what I would point to is that, regardless of the segment, regardless of the dealer, they are very, very short on inventory and so if you were to say that inventories need to be built up by – just pick a number 75%, that wouldn't be off at all.
Wayne Wilson: Yes, and Craig, this is Wayne. Last year we said, it was north of 1,000 units. Maverick is one of those situations. So let's ignore Maverick for a second. That number has gone up over the course of this year. So retail demand has outpaced wholesale over the course of the year. And in addition, when you add Maverick into the mix, that business has been chronically under inventory. So it is a meaningful number that could be approaching a couple of thousand units.
Craig Kennison: That's very helpful. Thank you. And then with respect to the supply chain issues, I imagine that's leading to some cost inflation and maybe you considering some price increases. How is that dynamic unfolding for you?
Jack Springer: Well, the supply chain itself is really more about efficiency and building boats. And that's part of the reason that we're recalibrating that first quarter to make sure that we're putting boats down the line in the proper order. I think there are inflationary measures that we built into our model year 2022 pricing as most companies did. So that's really baked at this point. And the interesting thing, Craig is related to the pricing pressures that you refer to both on our side and then passed along to the consumer. It is not having any impact in demand. We continue to see that demand and the acceptance of the new pricing.
Craig Kennison: Great. Thank you.
Operator: Our next question comes from Brett Andress with KeyBanc.
Brett Andress: Good morning guys. You said the supply chain. Good morning. You said the supply chain really tightened up the last few weeks. Can you just maybe put some context or color around that? Just so we have more of an idea of maybe what you are facing or started to face?
Jack Springer: Yes, I think it's become more expensive. So if we go back to the fourth quarter and when we had our last call, we talked a lot about resin, and resin being the primary culprit from a supply chain standpoint, along with engines, outboard engines and that, those were the two things that we were watching and managing on an extremely close level. As time has gone on, you've seen inventory reserves dissipate somewhat. So they're lower than what they were a quarter ago, two quarters ago or three quarters ago. And a lot of our suppliers, they continue to struggle with the labor side or getting raw materials from China or Asia. And so it's expanded beyond just a resin or an outboard engine scenario. Resin has largely improved to a great extent. We don't have the issues that we had with resin that we did in the third and the fourth quarters, but there are a lot of other issues and I'll point to a couple. You run into issues with foam, which is also a petroleum-based. You run into issues with other small parts. It can change from week to week. And I think the best way to describe it is, we're managing through it, we're getting product, but rather than getting a large shipment of 150 different parts, we may be getting a shipment of 15 to 20 parts at a given time that gets us through a particular set of days or a particular week. And so there are more parts and it's a little bit more to manage. And so we want to make sure that we're careful in how we're consuming our production. We do believe it will be improved. And then as Wayne pointed out, we're looking more towards that second quarter that we'll start seeing that improvement. I would tell you that our guide is conservative. And that if the supply chain improves, we – and that's the predecessor to everything. If the supply chain improves, we can be better than what we've predicted.
Brett Andress: Got it, thank you for that. And then – so you have a lot of new models coming to market. Over the next year, you've done some expansions on the capacity side. But I guess where do you see unconstrained capacity, right? Is it 10,000 units? 12,000? 14,000? I'm just trying to frame up or get a sense of what you think you could do on the production end that some of these challenges weren't in the equation right now.
Jack Springer: We work pretty diligently over the last 12 to 18 months to put every brand in a position to build more product, with our Pursuit plant that we added, that added a significant amount of capacity. The three phases at Cobalt added significant capacity. What we're doing at Maverick today with that Phase 2 plant to add significant capacity. We built it here into Malibu. We've made some changes in different focus areas, and so we have more capacity at Malibu. So if the supply chain were to cooperate, we could easily go over that 11,000 rate.
Brett Andress: Got it, thank you, guys.
Operator: Our next question comes from Jaime Katz with Morningstar.
Jaime Katz: Hi, good morning. Thank you for taking my questions. I think you had mentioned infrastructure spend. And then in the 10-K, it indicated that CapEx would be more in 2022 than in 2021. But could you maybe frame the magnitude of that increase, given that some of the capacity investments could be sizable?
Wayne Wilson: Yes. What I would tell you is CapEx can be a little bit of a moving target as we develop additional plans that aren't necessarily set yet. And so it could be – right now, I would tell you that it's probably on a trajectory in the $60 million range as we add capacity and do some initiatives. But it has the potential to move around as we decide to do, whether it be more vertical integration initiatives or whatever, and we'll update folks accordingly.
Jaime Katz: Okay. That's helpful. And then the pipeline for new innovation for Maverick products. I think it was touched upon, and I think you guys might be maybe reassessing what's out there and what the opportunity set is. So is there any way that you guys might be able to elaborate on what we could expect to see out of the Maverick brand this year? Thanks.
Jack Springer: Jaime, we're right in the middle of that. And I think we're going to be a lot better suited to be able to address that, call it the next quarter or the quarter after that. But I will tell you this, it's very, very similar to both Cobalt and Pursuit. There are a number of white spaces. We call them product white spaces, where we just don't have a product. And once we put a product there, we're going to be able to capture share, we're going to be able to capture more sales. The second is that the product that we've both inherited, NBG is somewhat aged, long in the tooth. And so we're going to revitalize that every time you bring out a new product, every time we've seen this with the R-Series. Every time you bring out a new product or a new series that is replacing an old one, you have an exponential leap in sales, and we expect that to occur at NBG as well.
Wayne Wilson: Yes. And Jaime, this is Wayne. I would just add that we could get it – when it comes to the product cycle. That's the thing that is probably the longest in the tooth, in terms of being able to needing to take time where you have it – you're developing that team, growing that team and building that process and making sure you do it in the right way. And you're going to see more of an impact sooner from our capital expenditures, frankly, than that new product.
Jaime Katz: Helpful, thanks.
Wayne Wilson: Yes.
Operator: Our next question comes from Tristan Thomas with BMO.
Tristan Thomas: Good morning.
Jack Springer: Good morning.
Tristan Thomas: Last quarter, I think you called out for model year 2022 that about 80% of your first half order book was already sold. Could you update that?
Jack Springer: It's different by brand. But I think if you captured all of the orders, it would be well into the third or fourth quarter by now.
Tristan Thomas: Okay. Perfect. And then just two-part question about your capacity expansion. Has there been any issues getting either raw materials or labor for the Cobalt and Maverick plants? And then if so, has that impacted any of your time lines to get to full production?
Jack Springer: That's a good question. It's a question I would ask. It's been very positive surprise in that regard because we have not seen – we're ahead of schedule, I would probably say on Maverick versus what we thought that it could be. And we've not – what I would have anticipated to be the problems in raw materials, as you mentioned, and labor, we have not seen that. So that's been a very positive surprise.
Tristan Thomas: Okay, thank you.
Jack Springer: Thank you.
Operator: Our next question comes from Rudy Yang with Berenberg.
Rudy Yang: Hi, good morning, guys. Thanks for taking my questions. Just going back to EBITDA margin guidance for next year a little bit. How are you thinking about how benefits from the Cobalt and Maverick expansions will factor in throughout the course of next year?
Wayne Wilson: Yes. I think with respect to this year's guide, there's probably some of the uplift, right. So if we're doing the math and we're bridging this year's performance – or when I say this year, 2021 fiscal year performance to 2022. If you start at 20.5%, we’ve talked a bit about Maverick being about a 50 or 60-basis point drag. And then we have the reintroduction of COVID-paused costs and some investment and some infrastructure that creates another drag. I would tell you that a bit of the uplift is kind of broad-based structural across the business that’s offsetting that – if you do that math, you’re getting into the mid-19s of EBITDA margin. And if you think about just increases in sales and volume on a year-over-year basis, that’s getting some of that back. Maverick’s margin profile, given the limited incremental volume that you’re going to see flowing through that business, is probably not going to be meaningfully uplifted. Cobalt is the place where you’re going to see some benefit, and that would kind of bridge back to the 20% target we put out there.
Rudy Yang: Great. That’s super helpful. And then it seems like the amount of retail sold orders for next quarter continues to remain extremely high at above 90%. So you mentioned this will continue throughout fiscal year 2022. But I’m just wondering if you now believe this number will continue to be above that 90%. Or if you expect it to kind of incrementally decline over the course of next year?
Jack Springer: I think it’s going to be around that. We’ll see it pan out over the course of the year. But if you think about the heavy selling season when you get into the boat shows, those are going to all be retail sold orders at some point. I think it’s going to remain very, very high. Whether it reaches that 90% threshold for the entire year, we’ll see, but it could.
Rudy Yang: Thank you.
Operator: The next question is a follow-up question from Brett Andress with KeyBanc.
Brett Andress: Yes. Thanks for taking the question. Sorry, if you already addressed this. I may have missed it. But I mean, just looking at my model, I mean, it easily have you in a net cash position early next year. I guess, so where do you and the Board stand from a capital allocation standpoint? I understand M&A is lumpy, but kind of more of a suboptimal capital structure here next year?
Wayne Wilson: Yes. Look, I think Brett, we’ve always kind of been in this position where the business does generate a lot of cash. We obviously always have a predisposition to really – we find incredibly high-return strategic initiatives for us to invest that cash, and that position hasn’t changed. And so we try and stay dynamic with respect to that. And I think we’ve done that pretty successfully since, frankly, almost the entirety of being public. And so that primary focus, whether it be around vertical integration, we talked a little bit about the potential for a range of CapEx, depending on where we go with vertical integration plans. Or frankly, an M&A opportunity. Absent those types of opportunities and those situations can be dynamic and evolving, we probably have a number of months before there’s any decision made because we like to maintain that optionality for the high-return strategic investment.
Brett Andress: Is there any consideration for supply-side M&A?
Wayne Wilson: You mean to vertically integrate into our suppliers more.
Brett Andress: Yes.
Wayne Wilson: Well, look, we’ve obviously vertically integrated into engines over time and different things. So there’s – we are constantly trying to balance financial returns, strategic returns around supply the chain-related M&A. And there’s – I can’t think of a time where we haven’t been thinking about something with respect to that. So I don’t foresee a broader strategic push that is broad-based vertical integration across the supply chain to own a bunch of it. I think we’re going to focus it on very strategic assets with appropriate returns.
Brett Andress: Understood. Thanks for the color.
Operator: And I’m not showing any further questions at this time. I’d like to turn the call back to Jack for any closing remarks.
Jack Springer: Thank you. Summarizing our call this morning, Malibu continues to make history, not only smashing our fourth quarter expectations, but continuing a pattern of outperformance on almost every financial and operating metric for fiscal year 2021. We are in a unique and favorable position with our suite of premium brands and boats. Historically low inventory levels provide an incredible opportunity for continued success for at least in the next two to three years. Our strategic planning, operational excellence and supply chain management further supports our outperformance of the broader industry and will remain a key differentiator in this environment going forward while at the same time, continuing to drive profitability and unlocking maximum value for Malibu’s product portfolio. From Malibu and Axis to Maverick, to Cobalt and Pursuit we are thoughtfully looking at production levels to ensure we’ve not only meet customer – consumer demand, but do it in a way that allows us the maintain our industry leading innovation and quality. One thing that can be said enough, our backlog is unprecedented for every Malibu brand. We will continue to capitalize on the soaring demand environment and take advantage of the attractive trends that have materialized. We remain optimistic these tailwinds will remain elevated as we move into fiscal year 2022 and beyond, which will undoubtedly support further growth and strong earnings. Lastly, with our eyes on the horizon, or more aptly the wake ahead, our fiscal year 2022 looks bright, supported by unprecedented customer demand. The introduction of our new Model Year 2022 products, historically low inventories in a culture of operational excellence, which we believe will position us to drive substantial growth and profitability to deliver long-term value to our shareholders. I would like to thank you for your continued support. And I look forward to Malibu’s industry leading success in building fiscal year 2022 into the best year yet for Malibu. As always, we hope you and those around you continue to remain safe and healthy. Have a great day.
Operator: Ladies and gentlemen, this does conclude today’s presentation. You may now disconnect and have a wonderful day.